Operator: Good morning, and thank you for standing by, and welcome to Summit Hotel Properties Inc. Third Quarter 2020 Earnings Conference Call. At this time, all participants’ lines are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded [Operator Instructions]. I would now like to hand the conference over to your speaker today, Adam Wudel, Senior Vice President of Finance and Capital Markets. Please go ahead.
Adam Wudel: Thank you, Sarah, and good morning. I am joined today by Summit Hotel Properties, Chairman, President and Chief Executive Officer, Dan Hansen; and Executive Vice President and Chief Financial Officer, Jon Stanner. Please note that many of our comments today are considered forward-looking statements as defined by Federal Securities Laws. These statements are subject to risks and uncertainties both known and unknown as described in our 2019 Form 10-K and other SEC filings. Forward-looking statements that we make today are effective only as of today, November 4, 2020, and we undertake no duty to update them later. You can find copies of our SEC filings and earnings release, which contain reconciliations to non-GAAP financial measures referenced on this call on our website at www.shpreit.com. Please welcome, Summit Hotel Properties, Chairman, President and Chief Executive Officer, Dan Hansen.
Dan Hansen: Thanks, Adam. And thank you all for joining us today for our third quarter 2020 earnings conference call. The third quarter was again challenging for our industry as leisure travel continued to serve as the primary demand source. However, we were encouraged by the continued sequential demand improvements, which led to operating results that were considerably better than the second quarter. RevPar improved each month of the quarter across our portfolio. And importantly, this trend continued into October which provided us with some level of reassurance of the sustainability of demand in the weeks following Labor Day, a period of significant uncertainty heading into the quarter. Occupancy increased each month of the quarter peaking at 47% in September, which led to third quarter RevPar of $47, a 63.5% decline year-over-year. But that was a significant improvement from the second quarter RevPar of $23. Market share gains were substantial once again in the third quarter, as we finished with 151% RevPar index, an increase of approximately 39 percentage points compared to the third quarter of last year, and an 8 percentage point increase relative to last quarter. These gains reflect a tremendous work done by our in house asset and revenue management teams, along with the tireless efforts of our management company partners to capture the limited demand that currently exists in the market. We have clearly been successful capturing our fair share of very short-term leisure demand. But the results have been further aided by capitalizing on certain unique pieces of business and small groups that booked during the quarter, some of which were related to the damaging wildfires on the West Coast and the storms in the Gulf of Mexico. Preliminary October results reflect a modest continuation of the improvements we experienced throughout the third quarter, as October RevPar is expected to finish at $50 with the highest ADR of any month since the onset of the crisis, running nearly $10 higher than the rates achieved in the second quarter. Occupancy in October was over 47% across the total portfolio, more than 24 percentage points higher than the second quarter occupancy, and flat to September, despite the strong Labor Day weekend results. Excluding the five hotels that were either closed or consolidated into adjacent operations at various times during the quarter, occupancy was more than 50% in October. The trend of weekend occupancy and RevPar outperformance continued in the third quarter as leisure travel, particularly in drive-to and non-CBD markets continued to provide the vast majority of demand across the industry. Weekend occupancy was 56% during the third quarter as a relative outperformance compared to weekday results accelerated each month during the quarter. This led to weekend RevPar that was 40% higher than our weekday RevPar, primarily driven by occupancies that ran nearly 20 percentage points higher by the end of the quarter. Despite lagging weekends on a nominal basis, weekday rate demand in the quarter increased commensurately with weekends on a percentage increase basis, as occupancy and RevPar nearly doubled from the second quarter. Weekend occupancy at our hotels located in markets we consider as drive-to was nearly 64% in the third quarter. Our extended stay hotels which comprise nearly a quarter of our total guest rooms were also relative outperformers again during the third quarter, finishing with occupancy of more than 63% and exceeded 60% in each month of the quarter, while achieving a 51% RevPar premium to our overall portfolio. This trend continued as our preliminary October results indicate our extended stay hotels achieved 65% occupancy for the month. Our suburban and airport hotels which comprise more than a third of our portfolio guest rooms were also outperformance during the quarter, posting occupancies of 58% and 56%, respectively. Both increases have more than 20 percentage points from the second quarter results. These hotels achieved RevPar premiums of 27% and 29%, respectively, to the total portfolio in the quarter. Urban hotels have continued to lag the industry recovery, though occupancy increases for our portfolio during the quarter were in line with all other location types, finishing the quarter 20 percentage points higher than in the second quarter. RevPAR growth at our urban hotels led the portfolio on a percentage increase basis relative to the second quarter, posting a nominal RevPAR 2.5 times higher than our urban portfolios second quarter RevPAR. Our hotels continue to operate with extremely lean staffing models with labor resources being added back on an asset by asset basis, strictly based on improved hotel demand. We are currently averaging less than 14 FTEs per hotel, compared to approximately 30 FTEs per hotel prior to the pandemic. Despite this lean staffing model, our team continues to demonstrate a steadfast commitment to prioritizing the health and safety of our guests. Ever changing health and safety protocols and local ordinances provide unique challenges to our business. We are grateful to our brand and management partners for their constant awareness of and compliance with these dynamic policies. Optimizing the guest experience has always been a central tenet of our business model, and that has never been more important than it is today. Finally, to preserve liquidity, we have continued to delay most non-essential capital expenditures for the remainder of 2020, along with common dividend distributions, which combined preserved approximately $30 million in the third quarter, and will preserve $30 million of cash for the balance of the year. I'll let Jon speak to the specifics of our balance sheet, but with approximately $255 million of current liquidity and a manageable monthly cash burn rate that has been further reduced as our portfolio operating metrics have improved, we are well-positioned to navigate the recovery. With that, I'll turn the call over to our CFO, Jon Stanner.
Jon Stanner: Thanks, Dan. Good morning, everyone. We've been pleased with the continued efforts of our operations team, to diligently manage operating costs at our properties, in an effort to maximize hotel level profitability and minimize corporate cash burn rates. In the third quarter, our hotel EBITDA retention across the portfolio was more than 47%, which resulted in hotel level profitability in each month of the quarter. Positive adjusted EBITDA for the quarter and a reduction of our corporate cash burn rate to an average of just over $5 million per month. Commensurate with increases in RevPAR, our cash burn rate improved sequentially in each month of the third quarter, and finished September at just $4.5 million, the lowest of any month since the onset of the pandemic. This represents a significant improvement from the second quarter, when our cash burn averaged $11 million on a monthly basis. RevPAR and cash burn rates in October, generally tracked in line with September, a level at which is sustained provides a liquidity runway of nearly five years. We currently have $225 million available on our revolving credit facility, and approximately $30 million of unrestricted cash on hand, which combined gives us $255 million of total liquidity. Today, our weighted average interest rate is approximately 3.5% and weighted average term to maturity is approximately 3.3 years, with no maturities until November of 2022. While we've been pleased with the gradual improvements in our results, and particularly October metrics that on preliminary basis finished ahead of our pre-Labor Day expectations. Our near-term outlook for the business January remains uncertain. We continue to operate in a very challenging and limited demand environment. And the prospects for a more robust industry recovery are likely linked to fewer governmental and corporate travel restrictions, and significant health advancements or the passage of time to mitigate the effects of the pandemic. Though we remain confident the headwinds of our industry will ultimately abate, the timeline has continued to be pushed out. And we now expect a more meaningful increase in corporate and group demand to occur in 2021. Historically, November and December are slower travel months, and we would expect modest declines in absolute RevPAR levels from what we achieved in September and October. Though year-over-year declines will likely remain fairly stable given the seasonality of last year's results. As we said last quarter, despite the many near-term challenges we face as an industry, we remain bullish on the long-term prospects for travel related demand. Uniqueness of this pandemic has forced us all to challenge the pre-crisis status quo, in nearly every facet of life, and travel, particularly work related travel in a time of unmatched at home technology is at the precipice of that discussion. While it's not unreasonable to conclude that the events of the last seven months will ultimately to a systemic decline in travel, history would suggest otherwise. Emphasizing that this is one of the most resilient industries in our economy, and that people desire to gather in person and travel is innate. Prior to the crisis we were witnessing and fortunately benefiting from society's undeniable shift in preference, away from the collection of material items in favor of experiences and services. And while the pandemic has created an impediment to this progress, we believe those long-term trends that were significantly driven by a younger demographic will again reemerge as meaningful themes in the new post-COVID normal, yet has been so heavily speculated about. Here at Summit, we are blessed with a terrific portfolio that has been recently renovated, continues to capture significant market share despite the difficult environment, and is poised to lead through the recovery. We have an experienced team and a strong balance sheet with considerable liquidity to manage through the crisis, all of which gives us optimism and positions us well for the brighter days ahead. And with that, we'll open the call to your questions.
Q - Michael Bellisario: Good morning, everyone.
Dan Hansen: Good morning, Mike.
Michael Bellisario: First, just on the demand front, hoping you can give us a little bit of a breakdown of what you're seeing on the ground. Maybe what segments have improved the most? What segments are still lagging? And then maybe your take on what piece of the business is a little bit more temporary and maybe will need to get replaced next year or whenever kind of we're in a more normalized demand environment?
Jon Stanner: Yes. Sure, Mike. This is Jon. Look, I think from a segmentation perspective, as you would expect, leisure continues to be the predominant demand source at the properties, as we mentioned in the prepared remarks. But we have had some good success capturing some of the smaller more unique type group business. Some of it I think is more sustainable. We've got sports teams and other social events, that's probably more normal type of business. We also benefited in the quarter for some kind of one time demand items related to storms in the Gulf and fires on the West Coast. Some of those that won't necessarily repeat. I do think we started to see some small signs of return of corporate travel, not in a meaningful, and I think it's a nomadic way in any way. But we do have pockets of demand across the portfolio where we have good corporate demand. We've got a hotel still in the suburbs of Portland and Hillsboro, that still runs very high occupancy and most of that is corporate demand. We've seen good corporate demand strength in Silverthorne in Colorado from some auto companies that do high altitude testing out there. So there are certainly pockets of that demand. I mean, clearly that has been and continues to be the laggard. And that's part of the expectation for that to start to recover into next year in a more normalized demand environment.
Michael Bellisario: Got it. That's helpful. And then on the CapEx front, can you maybe provide your outlook there for the remainder of this year? And then as you're thinking about 2021, I know it's still early, but maybe what flexibility you have to either spend more or less, as you see fit and kind of just your initial expectations about CapEx spending for next year broadly?
Dan Hansen: Sure, Mike, it's Dan. I think, fortunately, we have done good stewards of assets and invested about $300 million over the last six years. Our portfolio is relatively young to start with. We do have the ability and did this year to significantly reduce what we had planned for the year. We still have maybe $5.5 million left this year to spend and feel that we can flex to spend more if these conditions improve. If they don't, because of the high-quality and the recent renovation at most of our properties, we feel very confident we could get by with a minimal number, as we did this year.
Michael Bellisario: Thank you. That's all for me.
Dan Hansen: Thanks, Mike.
Operator: Thank you. Our next question comes from the line of Neil Malkin with Capital One Securities. Your line is now open.
Neil Malkin: Hey, guys, good morning.
Dan Hansen: Good morning, Neil.
Neil Malkin: Hey. I was hoping if you could give an update on sort of your conversations with the brands in terms of any brand standard changes, operating model adjustments that you can highlight that are meaningful that have been agreed to or that you see, really meaningfully impacting the model or the fixed cost, I guess, burden of your already pretty efficient hotels.
Dan Hansen: Sure. This is Dan. We're in very close contact with the brands. We've had great dialogue. They've created working groups of which we're a part of from top owners and management companies to really help design, cleaning and health and safety standards. On the operating model, obviously we are adapting our model to eliminate the cleaning of stay-overs, offset by some more frequent cleaning of public spaces. And the food and beverage offerings are now running as mostly a grab-and-go model, and starting to have some limited menu offerings in selected locations. So I think those type of -- as it pertains to the cleaning of stay-overs and modifying food and beverage, I think are two key things that we are hopeful will have flexibility in tailoring those two, not just our guests and our locations, but through the profitability of the hotel. So, we're optimistic as you would expect, the brands have been good partners. And hopefully, we'll be able to find some ways. As you pointed out, we already have a really great operating model, but little enhancements will certainly make it better.
Neil Malkin: Okay, thanks. And then I don't know if I missed it. But you talked about, I think Jon, you said something about more meaningful corporate and group demand into 2021. Did I hear that correctly? And then, if that's the case, what gives you confidence in that? Is it maybe some smaller regional business demand, some clients that have kind of articulated that to you that they plan on being there? What kind of gives you that confidence or makes you feel that way?
Jon Stanner: Yes, sure. I think the comment was really that kind of a timeline for when we expected that type of demand to come back has really continued to be pushed out. And we now expect that to return more meaningfully in 2021. I think what gives us some level of confidence is that, as you mentioned we are seeing some sporadic pockets of demand. It's really more regional type of travel from a corporate perspective. We're not seeing the big national accounts, the big technology companies, the financial services firms that you maybe otherwise associate with corporate travel demand. But, we do believe there's some pent up demand from corporate travel demand. And a lot of what's inhibiting that today is restrictions, specifically corporate restrictions that over time, we will believe will be lifted. And once those are lifted, again, there's some pent up travel, some corporate demand that we think will ultimately manifest itself and increases in corporate travel.
Neil Malkin: Okay, great. The last one is actually on Orlando. That's pretty good sized mark for you guys. Just wondering, what your senses for when Disney and Universal -- if you're in contact with them, what their kind of plan is for reopening getting to more of a normal level? And obviously, that'll have a fairly big impact on your portfolio there.
Dan Hansen: We think that we'll start to see more traction from the holidays and that point forward. As Jon pointed out, I think leisure travels have been fairly strong and resilient. And we think that will translate into positive and growing numbers in Orlando particularly.
Neil Malkin: Thank you.
Operator: Thank you. Our next question comes from the line of Austin Wurschmidt with KeyBanc Capital Markets. Your line is now open.
Austin Wurschmidt: Hi, good morning, guys. Just curious, going back to the demand breakdown. I'm curious, what do you guys attribute to the strengthening weekday rates and sort of the post-Labor Day trends holding up better than expected? And then also curious if you have a sense whether an increased percentage of your guests are flying into locations as the TSA data has kind of taken a leg up post-Labor Day?
Dan Hansen: Yes, sure. I think, as we looked at October, I think what we saw was really a continuation of what we saw. Take the Labor Day holiday out for a second, but really what we saw late into August and through September really continued into October. And that was far stronger performance on the weekends than the weekdays, far stronger performance in kind of a non-core urban CBD type of hotel. So, I don't necessarily have a great insight into how much of that was drive-to or fly-to. I do think it continues to be much more heavily drive-to. We certainly see the TSA travel metrics, I think we're encouraged that there continues to be slight sequential increases there. But I don't think it reflects a significant change in the nature of the demand, I think it really reflects more continuation of what we saw late in the summer into the early parts of fall.
Austin Wurschmidt: I appreciate that. And then, turning to kind of dispositions. I mean, we've seen some of your peers explore dispositions, I recognize you guys have ample liquidity at the current cash burn rate. But as you do think about leverage and restrictions under your credit agreement. Aside from the obvious benefit being a recovery in fundamentals, what other options are you exploring today?
Dan Hansen: Austin, it's Dan. Look, acid sales are certainly a very good option for us, and something we definitely considered. We're just not a distressed seller, as you pointed out. So, I know there's a lot of capital out there, and I think our type of assets are in high demand. As we pointed out multiple times, our hotels are generally younger, renovated in great locations. So, definitely, I would expect continued interest in those. And should those opportunities come up where there's a trade to take place, it's something we've definitely behind our list.
Austin Wurschmidt: Okay, that's fair. And then just last one, you referenced the RevPar index. I think it was 151% or so versus your comp set. Is there any risk in the ability to continue capturing that relative outperformance? And is that just a function of the mix of business you're capturing versus peers? Are you running fairly meaningfully higher occupancy rates as well versus the comps?
Dan Hansen: There's two parts to that. Obviously, we've got great asset management and revenue management team that are driving incremental business. It's a little bit unique to our company having in-house revenue management that can look across the entire portfolio, and in pick unique spots to drive revenue. Part of that gain, admittedly, is also coming off a smaller number. So, there is a point where it is inflated, because it's coming off a very low base number. But that shouldn't in any way point to the lack of hard work and effort and high-quality of the portfolio. So, to maintain it, I think in this environment we feel very good about for that to maintain for multiple years, it gets a little bit more challenging.
Austin Wurschmidt: Okay, thanks.
Operator: Thank you. Our next question comes from a line of Dany Asad with Bank of America. Your line is now open.
Dany Asad: Hi, good morning, guys. So, I have two questions. My first one is more around like the operating models. So, what do you think labor looks like, once we return to prior peak in terms of occupancy? So, if I heard you correctly, you think we're down to like 14 FTEs? How many, FTEs you think we would need in normalize environment for your portfolio?
Dan Hansen: Dany, it's Dan. I think it's a great question. I think it's going to depend on the type of hotel. We do have some hotels that have very good bar business, and that we'll need to kind of re-staff as the as the demand comes back. We also have some hotels that run very high occupancy that we're going to need to get the majority of our housekeepers back. And if there is a property that has a lot of one day stays, that doesn't give us the ability to not clean the stay-over, because they're checking out every day. So, I think each property will be a little bit different, but we would expect in the vast majority of our properties to be lower than it was at prior peak, which, we think is positive for the industry and specifically our operating model.
Dany Asad: Got it. And then Jon, maybe this one might be a little bit more for you. But, you've done really well at managing your liquidity and we're now coming down on the cash burn numbers. So, what's your thought process on managing that liquidity runway? And how does that factor into your and your JV partners thought process on potential acquisition capacity and the appetite for it?
Jon Stanner: Sure, yes. Look, as you said we've been fortunate that our cash burn rate is at very, I would say, manageable levels at this point. It is something that we continue to manage very, very closely. As Dan referenced, from a CapEx spend, we're still spending kind of the minimum amount that we can to make sure we're managing cash burn. We just talked about labor and FTEs at the properties. And so we're still managing those line items incredibly closely, to try to get back to a breakeven level, which we're hitting on the weekends. We're not there midweek or kind of for the full week, but we are getting there on the weekend. So we don't need that much more incremental demand to kind of push us over to a breakeven level. I would say, there's certainly an appetite from both us and our JV partners to at some point in time take advantage of what we think are going to be some pretty attractive acquisition opportunities. We obviously have some constraints today from our balance sheet in our bank waivers that will need to be worked through, but we do expect, one, there to be a pretty deep set of opportunities, and two, a fairly long window to execute those on. So, today, I think that we're certainly watching everything that's happened in the transaction market. There hasn't been a lot of trades. We do expect those opportunities to become more meaningful as we get into next year and beyond.
Operator: Thank you. Our next question comes from a line of Chris Woronka with Deutsche Bank. Your line is now open.
Chris Woronka: Good morning, guys. I wanted to ask you about kind of like-for-like rates. And I know that if we look at ADR right now in totality, it's just a -- because of mix shift and so much more leisure than corporate. But is there any way to kind of get at where you are on, like-for-like rates, especially on some of the non-leisure stuff that you are seeing kind of midweek? And are you hearing anything through the brand companies about any kind of corporate feedback for rates as they begin to think about traveling again next year?
Jon Stanner: Yes. Again, a great question, Chris. I mean, it's something that I think we've debated extensively, internally as what is a more normalized rate environment. I think what the data would point to today is that, rates are down even within the same segment. I think clearly, what you're seeing is a significant, highly unusual shift in mix towards, as you mentioned lower rated leisure demand away from higher rated corporate demand. And how that looks like and how that shakes out, when we get into a more normalized environment, I think it's still very much up for debate. This is not a traditional RFP type of season, I think you've probably heard that multiple times. I do think we're hopeful that I think we'll see from an RFP perspective is accounts wanting to maintain some level of pricing flexibility to be able to price on a dynamic pricing basis, but hopefully continuing to use in many instances base 2020 rates would hold into 2021.
Chris Woronka: Okay. Helpful. And then as we think about kind of that operating model question, and I know, probably no final decisions have been made yet. But how do you think about the stay-over housekeeping being either kind of permanently eliminated, or making it an add-on? Or perhaps it's different based on a rate category or something like that. But what are your longer-term thoughts on that?
Dan Hansen: Chris, it's Dan. Those are kind of the thoughts and they would like flexibility. And I think that is continued discussion with the brands, and how do we affect that change on a model basis going forward. And what does that mean is it by request only and is there a cost for that, and I think there's a lot of different ways to look at that. So, I think that the question earlier, we talked about how do we look at staffing coming back that in and of itself cleaning stay-overs will be a big part of that. Fortunately, we only have one union hotel, so we do have a lot of flexibility. Right now we've got, General Managers mopping floors and changing sheets. And that's they've been gracious and have been working hard. But we do need to get team members back to fully their core job, which is driving sales and revenue and keeping guests happy and guests safe. So, we do think a lot of that comes back, and that in and of itself that not cleaning the stay-overs or as requested, I think is one of the unanswered questions that as owners we're still trying to find an elegant solution for.
Chris Woronka: Okay, great. And then just finally, can you maybe give us an update on where your portfolio is on kind of the keyless the mobile entry? And where you might hope to get to in the next couple years?
Dan Hansen: Yes. So it's a great question. Thanks for asking. All of our properties with the exception of two are fully operational with keyless entry. And we will have the remaining two done here before the end of the month. So it was a commitment we made early on to finish up quickly to be consistent with guest preference and having the ability for as much of a frictionless experience as they could. So we've made great progress and be completed fully here in the next several weeks.
Chris Woronka: Okay, very good. Thanks, guys.
Dan Hansen: Thanks, Chris.
Operator: Thank you. Our next question comes from the line of Bill Crow with Raymond James. Your line is now open.
Bill Crow: Hey, good morning. Dan, given your role in owner advisory committees and various brands, I'm just curious whether there's a risk that you perceive out there that maybe one brand family, whichever one it might be, might try and gain significant market share by either promising during the stay room cleaning or elimination resort fees, or something that just -- is there pretty good uniform views on these things across the different platforms?
Dan Hansen: I don't know if I would say there's uniform views, I think there's uniform understanding. I think they've all recognized that their partners, which are their owners, are in need of enhancements to the business model. And these were discussions that we had prior to the pandemic. So it's not something that just came out of the pandemic. So, I think there is some consistency with an understanding, but I don't know that there is, a common view on how they're going to implement that. Certainly, one could take an aggressive stance early and become a brand of choice from like owners perspective. I think that's a very real possibility. But I don't know, if there'll be something that will be consistent and equal across the board. They all have their unique brands, they're very much focused on guest satisfaction as are we. So finding that elegant solution to be able to market behind and keep guests satisfaction scores high is certainly top of mind. But I would say that there's a clear understanding, but probably not exactly a shared plan.
Bill Crow: Alright. Thanks. Jon, one for you and I'm not expecting a whole long answer. But can you just tell us how your discussions with the lenders is evolving over the last few months?
Jon Stanner: Sure. Look, we continue to have a lot of dialogue with them given how things have transpired. And again as demand and the recovery continues to be pushed out, we certainly stayed close to them. We’ve recognized that there's been a number of our peers or a couple of our peers anyways, that have gone back and addressed nearer-term maturities, probably more near-term liquidity issues and extension of waivers. I think, again, we're coming into this, I think, from a relative position of strength for we've got fairly manageable cash burn rates, I think, a portfolio that's essentially entirely open and poised to recover quicker. And thankfully, we just don't have any maturities to worry about till November of 2022. But I think the discussions with the lenders continue to be very constructive. And as I said, we continue to have a fair amount of dialogue with them.
Bill Crow: Okay. That’s it for me. Thank you.
Operator: Thank you. We do have a follow-up question from the line of Neil Malkin with Capital One Securities. Your line is now open.
Neil Malkin: Hey guys, thanks. Just one, COVID cases are starting -- they’ve been over the last couple of weeks accelerating. I'm starting to see a couple of the blue states or cities either partial shutdowns or reverting point back on some reopening plans, I think Boston or Massachusetts and then San Francisco as well. I'm just wondering how you think it will look at this time around if the second wave continues to pick up in terms of potential restrictions again? Do you think that now people have a lot more information? And then we have a sort of a plan that maybe it won’t be as impactful to hotel fundamentals. Could we see another potential dip over the next coming months?
Dan Hansen: Neil, it's Dan. Thanks for the great, easy softball question. Look, COVID is a serious issue and it affects peoples different, but there are clear benefits that cities have seen by shutting down and limiting exposure. There’s also clear consequences for business owners like us, and trying to find that delicate balance when their lives are at stake, is always tough. I think some of these cities carrying on over abundance of caution is well founded. As these cases continue to grow in certain markets, I think moving quickly here are is smart and can slowdown spread and hopefully reduce cases and ultimately does so. It’s not surprising that there are cities and communities that are moving quickly to do that. To the extent that it affects our hotels and our markets, if it’s in those markets, it certainly will slow things down. But I think, making sure that health and safety of travelers is certainly paramount. I do believe it will be shorter-term and quicker rebound as these things come up. So, I'm not sure that that’s overly insightful, but we do see that there is some risk in these markets that we have to manage around from a labor perspective.
Neil Malkin: Alright. Thank you. I appreciate it.
Operator: Thank you. Our last follow-up question will come from the line of Austin Wurschmidt with KeyBanc Capital Market. Your line is now open.
Austin Wurschmidt: Thanks, guys. Just one quick one here. So you referenced in the prepared remarks that October RevPar was at around $50, and then you went on the highlight that you really don’t need too much additional demand to get you to corporate breakeven which make sense based on the cash burn rates. But when you marry that with the seasonality comments and the November and December slowdown, I'm just curious about potential slowdown if you’re basing that on historical trends? Or if there’s something in the booking data that you see looking out that gives you greater pause, given the fact that business travel is a much more smaller component of demand today?
Jon Stanner: Yes. I do think it’s predominantly based on what we’ve seen historically. We’re operating in an environment that is incredibly short-term booking window. I think in the third quarter 70% of our room nights booked within seven days, and 60% of them booked within three days. So, we generally don’t have a lot of visibility from a booking window perspective. We have even less today, so it’s hard for us to use anything. But kind of what we’ve seen from historical perspective, I do think we have some level of optimism around the holiday, as Dan talked about, and the pacing data albeit small or at least around things given at this time is positive. But, our expectation is for some level of moderation in the first couple weeks of November, again, based mostly on what we’ve seen historically.
Austin Wurschmidt: All right. Thanks, Jon.
Operator: Thank you. This concludes today’s question-and-answer session. I would now like to turn the call back to Mr. Hansen for closing remarks.
Dan Hansen: Thank you, all for joining today in this time of uncertainty. Rest assured, the team at Summit is experienced, working hard for every dollar, and we believe we're positioned very well to get back to growth. I wish you all a terrific week, and look forward to seeing everyone in-person soon.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect. Everyone, have a great day.